Operator: Good morning, and thank you for calling the Polo Ralph Lauren's First Quarter Fiscal 2012 Earnings Conference Call. As a reminder, today's conference is being recorded. [Operator Instructions] Now for opening remarks and introductions, I will turn the conference over to Mr. James Hurley. Please go ahead sir.
James Hurley: Thanks, Kelly. Good morning, everyone, and thanks for joining us on Polo Ralph Lauren's First Quarter Fiscal 2012 Conference Call. The agenda for today's call includes Roger Farah, our President and Chief Operating Officer, who will comment on our broader strategic initiatives; Jacki Nemerov, our Executive Vice President, will provide some product commentary; and Tracey Travis, our Chief Financial Officer, will provide operational and financial highlights from the first quarter in addition to reviewing our expectations for fiscal 2012. After that, we'll open the call up for your questions, which we ask that you limit to one per caller. During today's call, we will be making some forward-looking statements within the meaning of the federal securities laws, including our financial outlook. Forward-looking statements are not guaranteed, and our actual results may differ materially from those expressed or implied in the forward-looking statements. Our expectations contain many risks and uncertainties. The principal risks and uncertainties that could cause our results to differ materially from our current expectations are detailed in our SEC filings. With that, I'll turn the call over to Roger.
Roger Farah: Thank you, Jim, and good morning, everyone. We're reporting excellent first quarter results today with consolidated sales rising 32%, operating income increasing 62% and earnings per diluted share up 57%. Our performance reflects strong global momentum across merchandise categories, channels and regions and comes on top of equally strong results in the comparable prior-year period. We are expanding our market share on multiple dimensions as our wholesale, retail stores and e-commerce operations are all achieving strong rates of growth. We believe the broad-based nature of our sales growth is a direct function of the clarity of Ralph's luxury lifestyle vision that runs through all that we do, from design to world-class marketing to our spectacular in-store presentations. We are leveraging this clarity of vision and purpose with an expanding range of merchandise and store environments around the world. Our results also demonstrate the relevance of our strategies as we consistently innovate new products, we're expanding our international presence and we continue to extend our direct-to-consumer reach, which is all supported by our ongoing infrastructure investments and the focused development of our worldwide talent. These strategies have enabled us to deliver consistent double-digit sales and earnings growth over the last 1-, 5- or 10-year periods. The extraordinary profits flow-through we achieved on the quarter's better-than-expected sales highlights the power of our operating model, one that leverages the incredible strength and appeal of the Ralph Lauren brand, while respecting the uniqueness of each customer we touch in a particular channel or region of the world. The sustained double-digit growth of our domestic operations across all channels is noteworthy, especially when we consider the scale of our business in the United States. The team continues to raise the bar and maximize the opportunities with our largest merchandise categories, while driving excellent productivity gains and incremental distribution of exciting new products. As we continue to make significant progress with our international development efforts, international revenues rose 60% during the quarter, accounting for 36% of our consolidated sales, a 600-basis-point gain from the prior year period. Our business is growing along many dimensions in Europe, including new wholesale and retail distribution, the expansion of existing and highly productive locations and the contribution of new merchandise categories such as Lauren and accessories. We're also growing our presence in Eastern Europe and the Middle East through partnerships with strong, locally based experts. There's a lot of excitement planned for the remainder of the year in Europe. We intend to launch e-commerce in France and Germany in the next 3 months, and Club Monaco and Ralph Lauren Denim & Supply will be introduced into leading department stores this fall. And we're also opening our first European Rugby store in London's Covent Gardens in a few weeks. In Asia, we are exceeding our sales and profit plans in all major regions. Every day, we're learning more about this dynamic emerging region, and we are steadily improving our operational capabilities. We've made the most impactful progress in Japan, which we've directly operated for 4 years. In that time, our sales trends have consistently outperformed the overall market. Our profitability has also improved substantially as we integrated Japan into our global sourcing and distribution organizations. We've invested in system upgrades, and we've leveraged our best practices with respect to planning and merchandising. Our recent transition of the South Korean operations was executed seamlessly, and the team has already begun relocating and renovating shops as part of our long-term market development strategy. We also commenced our multiyear brand repositioning efforts in Greater China, closing a handful of shops while simultaneously opening more appropriate points of distribution that support our luxury merchandise strategies and that can accommodate our growing accessory assortments. We are very pleased with the customer response to our elevated merchandising assortments throughout Asia. The ready acceptance of Ralph Lauren handbags and watches, when they are appropriately merchandised in dedicated space, is very encouraging, especially since these categories are expected to be an important driver of our growth aspirations in the region. In the near term, our locally based management teams remain focused on brand elevation efforts, expanding distribution for new and existing merchandise categories and identifying ways to leverage the shared services throughout the Asia-Pacific region as the scale of our operations there expand. Our global direct-to-customer efforts are accelerating as evidenced by our impressive sales growth and substantial profit improvement of our retail segment. Exceptional merchandise and customer services drove stronger conversion rates and higher full-price sell-throughs in the quarter. Sales trends were strongest at stores located in the world's major cities and destinations, which typically service both local and tourist customers. These stores tend to have the most compelling and complete representation of the World of Ralph Lauren, and it's increasingly clear that customers want access to our full range of products and lifestyle sensibilities, especially accessories. The strength of our first-quarter operating results is effectively an extension of the strategies that have supported our momentum over the last 12 to 24 months. But as you are all aware, the retail landscaping is changing greatly as higher prices emerge with the full floor sets. We will not to know the full impact of our pricing actions until mid to late September. By then, the customer has probably had enough time to digest the new pricing paradigm, and we should have some sense of how recent macroeconomic uncertainties have affected the global consumer sentiment and consumption trends. Over the last several weeks, it's become increasingly clear that the global macroeconomic environment is very fragile and that we are operating in the context of tremendous uncertainty and volatility. Austerity measures in the U.S. and Europe are a necessity, but the complexity and magnitude of these measures is unknown. Since the U.S. and Europe are important regions for us, we're very focused on monitoring how the customer reacts to these macrodynamics. We have set the bar high with respect to our sales plans for the year, but we are confident in the rigor of our planning process and our ability to proactively navigate through emerging challenges. The sophistication of our sourcing, supply chain and logistics operations enable us to better read and react to changes in market dynamics than ever before. We're also confident in the strength of our merchandise assortments, and we believe our unwaving commitment to the integrity of our products and our value propositions will remain a competitive advantage for us. The diversity and resilience of our operating model across channels, regions has typically served us well in turbulent times, which is why we remain committed to investing in our growth initiative and infrastructure, particularly for the Asia-Pacific development and international e-commerce. This is consistent with the strategies that we have supported over sustained periods of time, including the last downturn when we're able to grow earnings despite the ongoing investment in our growth initiatives. By staying the course, we believe these investments will yield incremental returns for our shareholders over the long term. And now, I'd like to turn the call over to Jacki for some merchandise highlights.
Jackwyn Nemerov: Thank you, Roger, and good morning, everyone. There's no question that the tremendous momentum we are experiencing across all channels worldwide is a function of best-in-class products and compelling merchandising strategies. Ralph's commitment to product innovation have enabled us to continually satisfy our customers and gain meaningful global market share. We have leveraged the sustained success of our most iconic products to gain traction with exciting and fast-moving new merchandise categories such as dresses, footwear and accessories. This morning, I'd like to take you through some key highlights of our home, childrenswear, denim and accessory initiatives. Today, we are delivering the World of Ralph Lauren in a more consistent, more comprehensive and more impactful way than ever before, taking the vision from design to production to merchandise, planning and ultimately to the in-store presentation. This consistently applied approach has supported the extraordinary growth we are experiencing across all product categories on a global scale. The clarity of our merchandising initiatives, which focus on targeted assortments that offer outstanding value and unique channels of distribution has allowed us to achieve growth across all channels worldwide from our own stores to leading department stores, specialty stores and of course, the rapidly expanding online space. The strong customer appetite for our products is a testament to the vitality and desirability of the Ralph Lauren brand. In fact, the remarkable performance of our men's product, the foundation and origin of our entire company, is perhaps the best example of the brand's appeal around the world. The expansion of our assortments across Purple Label, Black Label, Polo, Golf, RRL and RLX not only give the loyal customer something fresh, but also attract a new customer into the World of Ralph Lauren menswear. Last quarter, I highlighted some strategic changes and how we're managing our home category. I'm pleased to report that with more direct control over our bed and bath merchandise, which is our largest classification in terms of sales, we are already experiencing improved operating efficiencies, customer satisfaction and sell-through rates. We look forward to expanding our distribution and strengthening our productivity across all home product categories worldwide over the next several years. Since acquiring our childrenswear license in 2005, we've developed a meaningful global presence that includes a wholesale distribution and stand-alone stores. We recently opened a childrenswear store in Ocean Terminal in Hong Kong, which joins our other stores throughout the U.S., Europe and Middle East. We are excited about the global growth prospects for childrenswear, particularly as we continue to apply merchandising strategies and operating disciplines that have worked so well for us in other categories. This fall, we're introducing a new active dimension to our boys' apparel that take its inspiration from the sporty heritage of Polo and the contemporary aesthetic of RLX. With our leadership and the more polished aspect of boys' dressing, this active line really nicely rounds out our total offering. Denim & Supply, our new denim-based lifestyle collection for men and women, is launching now. Merchandise is being set in leading department stores worldwide and will be available on RalphLauren.com on August 11. Denim & Supply was developed to speak to a 20-something customer in a fresh and distinctive way that is still grounded in the heritage and authenticity of Ralph Lauren. Based on the demographic, we will have a strong online presence to drive awareness and interest in the brand. Wholesale customers around the world have responded favorably to the merchandise. Orders for the fall season were strong, confirming the ease in which we expect to replace and significantly upgrade the former Polo Jeans Co. brand throughout Europe and Asia. The product and in-store environments are spectacular and the quality, authenticity and distinctiveness of the brand really shine. There is truly no other denim line quite like this, and we believe customers will respond very favorably. Consistent with our overall corporate focus, accessories are an integral part of the overall assortment. Denim & Supply is the latest component of our tiered denim strategy that includes our women's collection denim business, Black Label denim for men's and as well as denim in the existing RRL, Polo and Lauren lines. The progress we are making with accessories each season is very exciting. As the Ralph Lauren luxury handbag and footwear assortments expand, global customers' interest and appetite have been strong. We are experiencing the same success in the wholesale channel with our Polo and Lauren accessory brands, and we intend to meaningfully expand global distribution of these products over the next few years. Our increasingly diverse global sales base and product mix, our ability to continually gain share in our largest markets and product categories, our success of expanding into new merchandise categories and of course, the unrivaled power and prestige of the Ralph Lauren brand are enabling us to build strong new platforms for future growth. And with that, I'd like to turn the call over to Tracey.
Tracey Travis: Thank you, Jacki, and good morning, everyone. As Roger highlighted earlier, we reported excellent first quarter operating results. Consolidated net revenues were $1.5 billion, 32% greater than the prior-year period and better than the mid-20s sales growth expectations we outlined for you in May. The increase in net revenues reflects double-digit gains in our wholesale and retail segments, both exceeding our original expectations for the quarter. Sales of our core apparel merchandise categories, particularly our men's product across all channels of distribution, our strong e-commerce growth and performance at our factory stores worldwide surpassed even our robust initial expectations. Sales in Japan also stabilized more quickly than we anticipated, following the earthquake and tsunami events in March. And of the 32% net revenue growth, favorable currency translation did impact our total reported revenue growth by approximately 4 percentage points. Our gross profit margin of 63%, which was 120 basis points greater than the prior-year period was driven entirely by our retail segment and reflects strong full-price sell-throughs and a higher penetration of international store and concession sales. These benefits more than offset the negative impact of cost-of-goods inflation across all wholesale and retail formats. The improvement in the first quarter gross profit margin was another contributor to our outperformance relative to the expectations we communicated in May. As Jacki mentioned, the strength of our merchandise assortments across apparel and accessories, combined with our in-store presentations, continue to support highly profitable sell-throughs across all channels of our business. Operating expenses of $679 million were 26% greater than the prior-year period. The increase in operating expenses were driven by overall growth in our core operations, an increase in our retail channel mix, incremental costs associated with the newly transitioned South Korea and home operations and continued investment in our other strategic growth initiatives, including international e-commerce, new store openings and infrastructure support. Currency translation also impacted expense growth by approximately 4%. We were able to achieve 210 basis points of operating expense leverage during the quarter, primarily as a result of better-than-expected sales growth, and this was another important contributor to our outperformance relative to our first-quarter expectation. As a result of our strong sales growth, our operating income of $282 million was 62% greater than the prior-year period. We achieved a record operating margin of 18.5%, which was 340 basis points above the prior-year period. Net income for the first quarter of fiscal 2012 increased 52% to $184 million, and net income per diluted share rose 57% to $1.90. The higher effective tax rate of 33% this year, compared to 29% in the prior-year period, primarily reflects the favorable resolution of discrete tax items last year and is consistent with our guidance to you in the fourth quarter. Regarding our segment highlights for the quarter. Our wholesale segment reported sales increase of 29% to $673 million and constant-dollar sales increased 25%. As I mentioned earlier, shipments of our core apparel and accessories merchandise sold through at exceptionally strong rates, which allowed for increased replenishment across several categories. In Europe, strength in sales in the U.K., Germany and France across virtually all brands offset the continued softness we have experienced in sales in Italy. Wholesale operating margin and operating income in the first quarter rose 14% to $151 million, and the Wholesale operating margin expanded 190 basis points to 22.5%. The substantial improvement in wholesale operating income and margin rate was entirely a result of higher global shipment volumes and expense leverage on the better-than-expected shipment growth, which more than offset the impact of cost-of-goods inflation. For our retail group, first quarter sales rose 37% to $814 million and were up 33% in constant dollars, reflecting strong comparable store sales growth across all retail concepts, the contribution from newly opened stores and incremental sales from our newly assumed South Korean operations. Retail sales also benefited from a late Easter this year, which we estimate contributed approximately 2% to total segment growth for the quarter. Overall, comp store sales increased 19%, reflecting 14% growth at Ralph Lauren stores, 20% increase at factory stores and 16% growth at Club Monaco stores. RalphLauren.com sales continued to expand at a double-digit rate, increasing 28% in the first quarter. Our comp gains were achieved through a mixture of transaction growth and average dollar sales growth, with the latter mostly due to higher full-priced sales in our stores. Urban markets and key tourist destinations, particularly in the U.S., continue to outperform average traffic trends, and concession shops sales across Asia were exceptionally strong in the quarter. We opened 7 directly operated freestanding stores, closed 6 stores and assumed control of 3 formerly licensed locations during the quarter, ending the period with 371 company-operated stores. We also operated 535 concession shop locations globally at the end of the first quarter. Retail segment operating income grew 67% to $173 million in the first quarter, and the retail operating margin increased 380 basis points to 21.3%. This substantial improvement in retail operating income and the expansion in margin rate comes as a result of strong comparable store sales growth as I mentioned earlier and higher full-price sell-throughs, which drove broad-based profit improvement across most retail concepts, particularly in the U.S. and in Asia. Retail operating income also benefited from the inclusion of the South Korean acquisition this year. The improved retail segment profitability was partially offset by cost-of-goods inflation. Licensing royalties for the quarter were $40 million, 6% greater than the first quarter of fiscal 2011 and primarily due to increased fragrance royalties that were partially offset by lower international licensing royalties related to the transition of formerly licensed South Korean operations. Operating income for our licensing segment rose 6% to $25 million as a result. Our financial condition remains strong as we ended the quarter with approximately $981 million in cash and investments and $677 million in net cash, and that was after investing over $300 million in share repurchase activity within the quarter. Consolidated inventory was up 42% at the end of the first quarter on a reported basis. In-transit inventory was an important driver of the overall increase as we have taken ownership of certain key items of our merchandise earlier than normal. We made this decision in an effort to minimize any potential supply chain disruption that could have been a potential risk when we were placing our fall orders last year when both factory and transportation capacity was extraordinarily tight and cotton prices were at peak levels. Approximately half of the increase in dollars is to support the anticipated sales growth and shipment cadence of comparable product categories, geographies and channels. Approximately 30% of the increase is attributable to cost-of-goods inflation and foreign currency impacts and the remaining 20% of the increase is related to new merchandise categories or new business operations such as South Korea, home textile, Denim & Supply in the U.S. and international e-commerce. And with the assumption of realizing our current sales projections, we remain comfortable with the content and currency of our inventory. We expect inventory growth to become progressively more aligned with sales trends throughout fiscal 2012 as we cycle through changes and year-over-year shipment cadence. We spent approximately $39 million on CapEx during the first quarter to support new retail stores, shop installations and infrastructure investments. We also repurchased 2.5 million shares of stock, utilizing $302 million of our current authorization. At the end of the first quarter, we had approximately $670 million remaining under our authorized share repurchase programs. We informed you back in May that our first-quarter results were expected to be a continuation of the strong performance we experienced in the second half of fiscal 2011 prior to the full impact of fall price increases. And our first quarter results are truly exceptional by any measure, and they were achieved on top of very strong operating performance in the prior-year period, as Roger mentioned. While we have begun this new fiscal year with broad-based momentum across all regions in our business, we have incurred, as we anticipated, 4 substantial cost-of-goods inflation with fall shipments in the second quarter and have made thoughtful and selective pricing adjustments by brand and by region to help mitigate some of the intensifying inflationary pressures. This is expected to have a negative impact on our balance-of-year fiscal 2012 gross margin, particularly as we make large fall shipments at wholesale in the second quarter. And although the price of cotton and other commodities have recently retreated from peak levels, initial cost projections for our spring 2012 merchandise are aligned with the expectations embedded in our initial fiscal 2012 outlook, which we provided you on the last call. As Roger highlighted earlier, it is unclear how the recent and extraordinary volatility in the global equity and credit markets might affect global consumer sentiment and demand. At this point, we intend to continue executing against our original strategic objectives and sales plans for fiscal 2012. We are closely monitoring trends across all channels and regions in order to proactively address any material changes that could affect our plans and outlook for the year, which I'd like to review with you now. For the second quarter, we currently expect consolidated net revenues to increase at a high-teens to a low-20s percent. Our expectations are based on a mid-teens increase in global wholesale sales and a mid-20% increase in retail segment sales, and as a reminder, the acquisition of the South Korea license is noncomp for us until the fourth quarter this year and is driving approximately 3% of the overall year-over-year sales growth I just mentioned. Our operating margin for the second quarter is expected to be approximately 300 basis points below that achieved in the comparable year period. This decline is a relatively equal mix of gross margin pressure from cost-of-goods inflation and higher operating expenses. The anticipated deleverage in our operating expenses is primarily related to the timing of cost related to additional channel distribution expansion, including preopening costs for a portion of the 34 new stores and 47 shops we intend to open worldwide during fiscal 2012, e-commerce investments for Ralph Lauren sites in France and Germany and for Club Monaco in North America and the incremental expense of our South Korean operations. So based on our strong first quarter performance, we have raised our full-year fiscal 2012 sales and profit outlook. And for the full-year fiscal 2012 period, we now expect revenues to increase at a mid- to high-teens rate, which compares to our prior expectation of mid-teens growth. Our full-year operating margin outlook is now estimated to be down 50 to 100 basis points from the prior-year period, which is an improvement relative to our initial expectation of a 100- to 150-basis-point decline. In addition to the investments we are making throughout Asia and in international e-commerce, we currently still intend to support our growth expectations with incremental advertising and marketing, which we believe is critical to generate more awareness for new and emerging categories and to raise our profile in international markets. We have revised our expectations of the restructuring charges associated with our Greater China repositioning efforts to $8 million to $12 million for the full year, and those costs are not included in the operating margin outlook I just provided you. The exceptional profit flow-through on our better-than-expected first quarter sales reflects both the innovation and executional discipline of our organization, particularly as we continue to invest in strategic growth initiatives. And while the challenge of the near-term economic uncertainty is real, we will continue to balance this reality with the investments that we believe are appropriate to continue to drive long-term shareholder value creation. We have a clear, compelling growth strategy ahead of us, and our company has a long-standing track record of success in executing against our strategies. At this point, we would like to open up the call for your questions. Operator, can you assist us with that?
Operator: [Operator Instructions] And we'll take our first question from Omar Saad with ISI Group. [Technical Difficulty]
Operator: We'll take our next question from Kate McShane with Citi Investment Research.
Kate McShane - Citigroup Inc: I was wondering if you could give us any more detail behind what type of price increases we'll be seeing for the brand in the upcoming fall season? And if there's been a different strategy implemented internationally versus domestic?
Roger Farah: Yes, Kate, the point of view we took when the dialogue began to heat up over cost of goods was really based on a couple foundational principles. One, we would not alter the quality, make, materials or findings of any of our products, and we chose very specifically to make sure our customers maintain the quality they've come to expect. Having made that decision, the price increases are different by merchandise categories, and different merchandise categories play out also geographically differently. So what we really tried to do was take the product categories and the regions and come up with an overall point of view about what to pass on and what not. I think embedded in the second-quarter guidance reflects some margin pressure because the cost of goods in general are higher than all the prices we passed on. But not unlike the first quarter, our strategy of quality first and merchandising of pricing, we think drives sell-throughs and market share opportunities, again, that the first quarter exemplified the kind of flow-through we can get. So by market, by merchandise categories, some sensitivity, the channel, the distribution, mid-tier versus luxury were baked into the matrix of pricing that second and third quarter reflects. I think, as Tracey talked about, while we are seeing raw materials come down for next spring, there's a lot of merchandising of old higher-priced yarns and materials with new pricing that will play out through spring. So if raw materials stay down by summer and next fall, I think we'll begin to see overall cost of goods come down. By then, we'll know how the customers react to the price increases and where we go from there.
Operator: And we'll take our next question from Omar Saad with ISI Group.
Omar Saad - ISI Group Inc.: Great execution this quarter, congratulations. Roger, with international up 60% and now 36% of the mix and the retail business, you're executing really well in that front, too, especially on a global basis. Help me kind of understand, marry those 2 pieces and the role that retail's going to play internationally and especially if we think about flagships versus other kind of owned retail, whether it's concession or smaller footprint stores, how we think the brand could look at the consumer level, at the retail level and globally a few years down the road.
Roger Farah: Well, it's a very important question. Let me try to answer it this way. Our model is an integrated model, and whether it's Europe, United States or now Asia, we've gotten much better at trying to think through channels of distribution and appropriateness of how we speak to the customer, whether it's brick-and-mortar retail, freestanding stores or concession or whether it's online and e-commerce. We try to marry that by market against the wholesale points of distribution that we feel are appropriate. Clearly, in this quarter, with the addition of important business in Asia, retail was larger than wholesale, which is kind of new for us. I think we'll see a similar phenomena in our third quarter, and then second and fourth quarters for us, are larger wholesale quarters, retail being a bit smaller. But the success that you're seeing in the numbers and you see in the stores is really a result of many, many years for those who have followed the story of investing in talent, in products, in presentation and very innovative marketing. The car show we have going on in Paris has been extraordinarily successful and has helped build the brand awareness in that market where we have important retail and we have also important wholesale. So the entire model is a mosaic of integrated pieces, clearly, direct to consumer, brick and mortar or online is a growing part of our business and will be the dominant part of our Asia business. There's no doubt that each country has a different distribution model, but in Asia, the bulk of the business will come through flagships, dedicated freestanding stores either by men or women or accessories. We've opened recently a kid's store that's been extraordinarily successful. So the opportunities in Asia are almost unlimited and most of that will be approached through our ability to execute at retail. Today, our retail profitability in the merchandise categories that we're in I think stands second to no one. And as we grow the accessory business and that becomes an increased part of our direct to consumer, I think it's only going to get better. Where we've given accessory space to our own stores, whether it's Madison Avenue or Belle Harbor or our recent store we opened in Hong Kong in the Peninsula, the reaction to accessories, whether it's handbags or watches or belts or scarves, has been truly satisfying. So we really think we're on the right trend and the combination of accessory growth, Asia growth and the success in U.S. and Europe, I think, will continue to push the retail to higher heights.
Operator: We'll take our next question from Adrianne Shapira with Goldman Sachs.
Adrianne Shapira - Goldman Sachs Group Inc.: Roger, just following on that, pushing retails to higher heights, the guidance for the second quarter, it looks as if we're looking for that reversal in operating margins, down 300 basis points on the heels of a spectacular quarter and just help us think, we can appreciate the shift, the mix shift, as wholesale's the bigger part of the quarter. But given the incredibly strong momentum in retail, kind of walk us through how, perhaps, we could be overly conservative in the second quarter.
Roger Farah: Well, first of all, as I realize, higher heights is probably not good English but you got the gist of it in retail. Our second quarter, I think, I was saying to Omar, the penetration of wholesale to retail begins to flip. So with that, we get a different kind of margin mix and the impact of cost of goods hits the markup. What worked so extraordinarily well in the first quarter was the full-price sell-throughs, and that was true at wholesale or retail or online. And that really drove the extraordinary margin performance that allowed us to ride over the cost-of-good increases. If that were to repeat itself in the second quarter, and at the moment, our forecasts do not include a 19% comp store retail increase. But if that were to occur, my guess is that the guidance would look conservative in hindsight. But I think at this point, sitting here in the early part of August, we really haven't gotten enough of a read on fall products, and we haven't got enough of a read on the new pricing to make that kind of prediction. So more to follow as the customer begins to react to products. What we have delivered for fall, whether it's in Ralph Lauren brands or Club Monaco, that does seem to be resonating with the customer is really wear-now fabrics, silhouettes, in fall colors. So we are getting a good read on those new deliveries, and that's a good sign for what second quarter may bring us. But at this point, it's really based more on the mix than anything else.
Operator: We'll take our next question from Michael Binetti with UBS.
Michael Binetti - UBS Investment Bank: Two quick questions. I'm still having trouble. Just one modeling question first. If you could help me understand, I'm still trying to figure out why gross margins go down from here sequentially. I understand the mix shift and second quarter being a big wholesale selling quarter, and then you'll see cost inflation in that part of the business. But it sounds like pricing is about to take hold and the current trends you're seeing, your gross margins are up, while most of your peers are seeing them down. I'm having a hard time trying figuring out how to model that lower from here. And then secondly on denim, that's been a category where I think the company has had mixed success in the past. It's a huge category in the U.S. and one that I'm surprised that we aren't sitting here today seeing you guys have a bigger share. Is there something structurally that gives you more confidence as you refocus on it now versus how you've approached in the past? And what do you think has maybe caused the results to fall short of your expectations in the past to help us think about it as you reenter that category?
Roger Farah: Okay, Michael, those are 2 questions. So let me start with the first. Interestingly enough, historically, first quarter is our highest gross margin quarter of the year, and that's not only driven by the growing retail penetration. But it's really about the product mix because April, May, June period for us is heavily a key item classification, high margin, strong sell-through time of year. And those products tend to come with higher margins. So even though we're up to a record-setting level this first quarter, we've historically run higher margins in the first quarter than the rest of the year. The second, third or fourth quarters tend to be more similar as we work our way through the year, particularly second and fourth quarter tend to be more collection deliveries. And then first and third quarter tend to be more key item and classification. So there's a lot of product mix within the channels and within the segments that do alter meaningfully the gross margin by quarter. The denim question, we agree with you. We think it's an extraordinary opportunity. We think no one has a seat at the table larger than Ralph Lauren. And I think we're now very comfortable with the pyramid of denim that we're representing to the customer. So at the high-end RRL, where we've just opened a new store downtown, if you haven't seen it, but we're very pleased with how that's performing, whether it's in the 72nd Street store or whether it's in our freestanding stores, we are really looking for that business to not only halo but grow into a business of size and scale as it's already the hottest item we have in Japan, and we'll later this fall open a store in London. From there, we actually have this fall Black Label denim coming, which we think is an important extension of the Black Label customers and sensibility. You'll see that in our stores later this year, and we think that speaks to a very specific audience. And then as Jacki talked about, the relaunch of a broader-based denim, which will not only replace here in the United States the Polo Jeans business, but in Europe and in Asia, we think profiles us against that business beautifully. So that, for us, is the beginning of a worldwide opportunity in men's and women's and then of course there's a trickle down into kid's. So we don't disagree the denim business is an enormous opportunity, and there are no structural or brand barriers to have that succeed.
Operator: Our next question comes from David Glick with Buckingham Research Group.
David Glick - Buckingham Research Group, Inc.: Roger, I think what's on everyone's mind is, obviously, the market volatility and how the luxury consumer is going to react. Obviously, you gave a very strong top-line outlook. I'm just curious, if you've seen any change in behavior on the part of consumers or your customers in the U.S. and Europe, which are the regions where, obviously, there's more concern. And then secondly, just wondered at what point on the retail side, I know this whole category presentation or classification, presentation of accessories was a big philosophical discussion at Ralph Lauren and you've made, obviously, a very smart decision to go after that business. When are we going to see that in more of your retail stores?
Roger Farah: Okay, well, David, the issue that you articulated about volatility is clearly on all of our minds. I'm not sure at this point we can do anything about it other than watch it play out. We have not seen yet any impact on our customers, both here in the United States or Europe, but as Tracey said, we're watching it carefully. A lot of the issues that seem to be behind the volatility are not new issues. So the uncertainty over debt in Europe, some of the issues here in the United States are not ones that have just come up in the last week. So what is creating the volatility? Where the consumer begins to be impacted by it? We really don't know. So we are, until proven otherwise, pressing ahead with our plans, and we feel good about the trends. First quarter was clearly a big downpayment on the year, the business in Asia, while it's infant state is still very strong. And we're seeing good strong global tourism. So at this point, we're watching carefully, but our forecasts reflect our best thinking. The retail accessory question that you mentioned, I think if you go to the 72nd Street store, where we've devoted the entire main floor to our accessory businesses, if you went to Paris, if you went to The Peninsula in Hong Kong or any of the new stores, you can see the distortion we've given accessories and our thoughts are now to circle back on many of our key flagships and look at how to make those stores similarly reflect our commitment and belief. Having gotten back the footwear business and then the accessory business, more leather good, belts over the years, I think we've built extraordinarily talented teams of people. We have developed the sourcing capabilities, and I think you're now beginning to see that reflected in the products that the customers are seeing, and where we've given a proper representation, they're voting yes. So that's an exciting opportunity for us as we push forward.
Operator: The next question comes from Bob Drbul with Barclays Capital.
Robert Drbul - Barclays Capital: Just a couple of questions on the inventories. Wondering if you could maybe discuss it in a different way than you've presented it during the prepared remarks. Can you talk about the inventory levels either by region or sort of wholesale inventories versus your retail inventories? And can you talk a little bit about the transparency that you have at the wholesale -- I mean, at the retail level for your customers both in Asia and in Europe?
Roger Farah: The transparency of the customer?
Robert Drbul - Barclays Capital: No. Just in like where the levels are at retail.
Roger Farah: Yes. Well, we have detailed inventory by brand, by region, by channel, by season, down to the item and SKU level. So we've got total visibility to all of our inventory worldwide. As a matter of fact, I think in somewhat of a pioneering investment, we also have visibility into raw materials, where it is in the manufacturing cycle, where it is in the transportation cycle. And so any part of that, that you want to review, you can. One of the things we chose to do when there was concern about factory capacity and transportation capacity was to pull forward inventory in order to minimize disruption. That also allowed us to be most efficient in our transportation and distribution costs. But one of the things we were able to do with that pull forward, which we used our balance sheets to carry heavier inventories coming out of June, is ensure timely deliveries, which are driving sales. And I think the cost of goods is somewhat impacted positively by a more thoughtful transportation and logistics, which did save us some on the margin component. So we do have it by region, channel, brand and we're managing that carefully. I think as Tracey said, by the end of the second quarter, I think you'll see some of this in-transit and some of this pull forward on the fall level back out. So we're very comfortable with where we are given our sales forecast at the moment.
Operator: Our next question comes from Jeff Klinefelter with Piper Jaffray.
Jeffrey Klinefelter - Piper Jaffray Companies: Just a couple of quick follow-up questions. One on Europe. In terms of Italy, you noted that, that had remained weak as in prior periods. And any updated thoughts there on trends and what you're forecasting into the second half? Are you forecasting further deterioration for Southern Europe or consistent performance? And then just on Asia, as you get further into your plans to roll out and expand in mainland China, are you coming across any opportunities to adjust your pricing either up or down? And how would that compare to your pricing in the European markets?
Roger Farah: Okay, Jeff, well, Italy remains challenged. It is a market that the distribution is almost exclusively through small multibrand specialty doors. Those local merchants are really feeling the squeeze of the difficult economic environment. It's not a market that has a meaningful department store exposure. Rinascente in Milan is probably the one exception. So you're really distributing through either mono-brand stores or through a specialty distribution, and I think they're not only feeling it, they're struggling with their own cash flows. So at least for the moment, we're looking at a fall that's probably more the same. And while it's an important country to us, I think you can see in the overall international results and particularly the European results, the strong countries, i.e. France and Germany, the U.K., the Scandinavian markets are all so extraordinarily strong that we're managing the softness in Southern Europe, whether it's Italy or to some degree, Spain. In Asia, we're really in our infancy, and our ability to work with the existing networks that we took back from our licensees, reposition those and move forward. As we're elevating product and content, we're also looking at pricing. So we're trying to take a more global point of view on the appropriateness of price differentiation whether it's Japan or China or South Korea. The Asian customer is very savvy and cross shops whether they cross shop within Asia Pac, or whether they travel to Europe. So I think the subject of global pricing, excluding for a moment the duties, is going to be one in the future. In general, we were priced through our licensed distribution too low. So we think we have found opportunities by merchandise categories to get better alignment with the market conditions.
Operator: And we'll take our last question from Faye Landes with Consumer Edge Research.
Faye Landes - Consumer Edge Research, LLC: Just a question on CapEx. Can you just -- you had guided to higher CapEx this quarter, this year, and the CapEx in the quarter was approximately in line with last year. So is that a timing issue or something else going on?
Tracey Travis: No, it is a timing issue. We expect that we are going to expect the full year's CapEx, Faye, of $320 million that we had communicated to you on the fourth quarter call. So it's just the timing between quarters.
Faye Landes - Consumer Edge Research, LLC: And the buyback, what should we read into that?
Tracey Travis: Well, we have a quite a bit of authorization for share repurchases, as we always do. We time those opportunistically. And we have $670 million left. So I think you can expect that we will continue share repurchase activity over the next few quarters.
Roger Farah: Okay. Thank you, everybody, for listening, and extraordinary hard work on the part of 24,000 employees around the world. We're really looking forward to the fall season and a strong holiday. So we'll be back to you in November.
Operator: And that does conclude today's conference. We thank you for your participation.